Operator: Good morning, ladies and gentlemen and welcome to the Second Quarter Results of the Financial Year 2024 Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator's Instructions]. This call is being recorded on Thursday, October 26, 2023. I would now like to turn the conference over to Michael Marcotte. Please go ahead. 
Michael Marcotte: Thank you, operator and thank you everybody for joining us on this call today to discuss our Q2 results. Before we get going, I'd like to turn people over to our website at championiron.com where you can find the presentation we'll be using today under the Events and Presentations section. Also like to remind people that we'll be making forward-looking statements throughout this call. And if you want to read more about these you can go in our MD&A, also available on our website. Joining me today is our CEO, David Cataford, who will be making the formal presentation. Also joining me is Alexandre Belleau, our COO; and Donald Tremblay our CFO. After David's formal presentation, we'll be doing a Q&A session. With that I'll turn it over to David.
David Cataford: Thanks, Michael and thanks everyone for being on the call. Very happy to be able to discuss the Q2 of fiscal year 2024. Two of the main highlights during the quarter, one is we're continuing to improve the production at our site and achieving roughly about 30 days of full nameplate capacity at the operations. So things are beginning to stabilize and we'll be able to tweak the final elements to be in full nameplate capacity. And second the fact that we've been able to reduce our cost to roughly about CAD 74 delivered in the vessel in Cecil. We had mentioned previous quarter that we felt that the costs had peaked and happy to report that with the improved operations, our costs are starting to come down. If we turn to sustainability, I think it's important to produce tons but it's very important to produce clean tons and happy to report as well that all the investment and the work that we've done on the health and safety side has allowed us now to exceed 500,000 hours worked without any recordable injury. So a lot of focus to be able to improve our results on safety and we see that these elements are now paying off. In terms of the work that we're doing with the community, I'm very happy to say that we've aligned ourselves with one of the largest North American First Nations festivals. So this is directly in Mani-utenam. So with the community of Mani-utenam, which we work, happy that we've announced a 10-year partnership with the festival to be able to be present and also to support financially their great festival. Also did our second year of official holiday for the National Day of truth and reconciliation. So we had significant activities at site and at the head office to be able to learn more about our partners and to have great speakers discuss about the past and also the potential future of working with First Nation communities. We believe it's extremely important to continue improving on that relationship. As you've seen permitting has become more and more complicated operating in lands that are on traditional First Nation lands is also more complex. So happy to have one of the best partnerships with the First Nations to be able to continue our growth strategy. If we look at the market so it was a in terms of the iron ore price, it's been pretty stable in the past quarter. The P62 and P65 have been fairly stable. You have seen the premium for the higher grade shrink closer to about 10%, right now which is abnormal if you look at the historical results since the index was created. That can be explained by three sort of main elements one being that the steel output out of Europe has not fully recovered. We're roughly about 10% below previous year in terms of crude steel production and pig iron production. Also we have not seen significant environmental restrictions out of China. So that usually affects the premium and we've seen steel margins out of China also be fairly depressed, which typically causes lower premiums for high grade and lower discounts for low grade. We do not feel that's a long-term event. But in the short-term, we've seen that depress the premium. Mind you that the price is still pretty healthy. It's been hovering between $125 and $130 per tonne during the quarter. In terms of the production so a record production of 3.45 million tonnes during the quarter. There were some elements that caused us to be lower than our nameplate capacity during the quarter mainly one conveyor that had a pretty significant failure that we were able to repair and also that event affected mainly the Phase II concentrator for several days during the quarter. But again, as we mentioned on the highlights section, happy to report that we've been operating in about nameplate capacity for a run rate of about 30 days. So we've been able to fix up most of the hiccups associated to these different elements. The strategy that we've been taking as well, as we've been doing since the beginning is being very conservative on the maintenance side and making sure that when there's a hiccup like that, will we fix it for good. We don't just do a little patch and then start back up the operation. So, it takes a little bit more time, but it allows us to then fix the problem and be able to move to the next hiccup. So, that eventually will be able to have a stable operation. In terms of operations, I'd like to turn your attention as well, to another great record that we achieved during the quarter. We had mentioned when we started up Phase 2, that there was a challenge to be able to secure all the mining equipment and to be able to get that mining equipment up and ready and have workers being able to operate them. We had a record of about 17 million tons, moved at the mine in the past quarter. So, we could see now that all the mining equipment is up and running, operators are there and we're hitting records in terms of material moved at the mine. So, very happy, with the way that operations are ramping up. And now that we're in a more stable operation, we'll be able to tweak the final elements which is the iron ore recovery, and the maintenance portion so that we can be in a stable nameplate capacity for the next years, and allow us to start working on our debottlenecking projects to be able to improve the tonnage from Bloom Lake. In terms of financial highlights, one note roughly about $155 million of EBITDA during the quarter. And second as we mentioned, the iron ore -- sorry the cash cost that has reduced during the quarter. If we turn to the cash cost, main elements that allowed us to reduce the cost is one, the volume. So, we've always mentioned that a more stable and a higher volume will allow us to dilute down all of our fixed costs. We also had operational improvements at the mine, as we have our own operators. Well, obviously, we don't need as many contractors and that reduces long-term costs. And the teams have done a great job in improving also the operations, at the mining side. And we do have some improvements on the logistics cost as well, that have allowed us to bring the cost down from $81 to roughly about $74 per ton. In terms of provisional price adjustments, it's been a pretty smooth quarter on that sense. We had about 1.4 million tons on the water, expected to be delivered at $121 per ton. We managed to sell them at $122. So, a very small provisional price impact positive US$ 1.6 million, which gives roughly about $0.50 per ton. Right now, while at the end of September, we did expect a settlement price of about $126 per ton for the 1.3 million ton on the water. And if you look at the current prices, they've hovered between $125 and $130. So if things continue this way, it should be another pretty smooth quarter in terms of provisional price. If we look at our realized price, realized selling price, you can see that we got a small premium to the P65 index during the quarter. So again, reflecting the fact that we can sell our material at the higher premium. That will obviously, evolve in the future as we start selling a 69% material in the next few years. But for now, we do still manage to hit a premium compared to the P65. If we look at our cash, well our cash improved by just over $65 million, during the quarter. There was a positive change in the working capital by about $40 million. We generated quite a lot of cash from our operations as well. And on the spend side, we did invest in our operations mainly on the tailings dikes and at the mine garage all planned elements. And as you know, typically as sustaining costs are higher for us during the summer months, as this is when we do all the work for our tailings and the work that we do on our dikes. What does that do for our balance sheet. So, you can see that our balance sheet is in a pretty robust position. We have net cash of about $27 million. And we also have roughly about $170 million on the ground, at Bloom Lake, if you account for the 1.6 million tons that is currently sitting at Bloom Lake. We do feel that right now the logistics side, seems in balance with our production. So things have improved on the rail line, but still in a tight operational spot to be able to bring down the stored inventory at site. We do feel that in the next quarters, we'll be able to start bringing down that material and evaluate it will take roughly about a year to be able to bring down that material, once we start bringing it down. So it will stay at site for some small time. But I think the positive note, is that we feel that the rail is now in a position to bring down all the tons that are being produced. So we should have a better equilibrium between the tons produced and the tons that are sold. When you look at the results the cash that we generated and also our balance sheet, that has allowed us to announce our fifth consecutive semiannual dividend of $0.10 per share. So, very happy to continue our capital return strategy with our shareholders. If we turn to the market, in terms of demand for our product and for the higher-grade products, what's interesting is we've been talking for a few years now about the fact that we feel the market is going to require more green steel and the users will be able to pay or will be willing to pay for this material in the future. We're starting to see contracts now being announced. The sectors where we track more of these green steel premiums in the auto and auto supply sector, in the energy sector and the home appliances, these seems to be the ones that we're seeing the largest premiums for green steel. Prices range from roughly about US$40 per ton for material that uses DRI all the way to €200 to €300 per ton for some users out of Europe. So we do feel that there is -- or there are some people that are willing to pay the premiums for this type of material. And when you look at the type of consumers that want this right now it's typically users that are not that impacted by the price of steel but that they can market their products after saying that it's a greener product. So we're thinking of companies like BMW that are able to pass on easily the premium to the customers to be able to market this type of material. So we're starting to see these contracts come and I think it's a perfect timing because as this market evolves in just under two years we'll be able to deliver our 69% material that should be able to fetch a very high premium. During the quarter, we also announced our new 43-101. So it was important for us to keep the definition drilling at Bloom Lake to be able that we can maximize the tonnes over the future. We still have an 18-year mine life but what we've announced in the past quarter is that we've improved significantly our resources at Bloom Lake, increasing our measured and indicated resources by 40% and the inferred resources by 360%. Why is this important now for not converting them to reserves is to really make sure that we design the right mine plans to make sure that we can access those tons in the future and potentially be able to operate decades after our current 18-year mine life. So very happy with the results that we've been able to achieve with the resources at Bloom Lake. In terms of our growth projects, so the feasibility studies are still on track to be able to be delivered in the coming months. So I'm very happy with the progress and with the work that the team has been doing and we'll be able to report to the market once we have the results for the Kami project and for the pelletizing facility in Pointe-Noire. If we turn to our next growth project, the one that is the most advanced, the RPF. So we do have cumulative spending up to date of just under $30 million, continuing to advance the detailed engineering and ordering our long lead items to make sure that we hit our calendar H2 2025 commissioning date. Right now we have not taken a final investment decision yet. The two elements that we are still working on is the securing of the energy block to be able to operate this plant and also finalizing the debt package with our current financial partners to be able to have all the cash in the bank to be able to finalize the project. So things are moving ahead smoothly. We do still expect a delivery time in line with what we have mentioned in the past and just working to finalize those elements to be able to come back to our board for a final investment decision. With that being said, I'd like to thank our team and all the supporting teams that have helped us achieve those results. I think they've done a fantastic job in making sure that we can produce clean tons and that we're able to eventually stabilize our operations, so that we can start working on all of our debottlenecking project to continue creating value for our shareholders. That being said, I'll turn it over to the Q&A portion of the call.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator's Instructions] Your first question comes from Orest Wowkodaw with Scotiabank. Your line is open.
Orest Wowkodaw: Hi, good morning. A couple of clarification questions. So should we -- now that you've achieved the full production rate or full capacity I guess here for 30 days. Should we anticipate that Q4 -- or sorry calendar Q4 is now a full run rate quarter? Or is there still some give and take expected on the ramp-up? And then second question is on the shipments. Did I understand you correctly that you don't expect any destocking of inventory here in calendar Q4?
David Cataford: Yeah. Thanks for the question Orest. So when you look at the current rail capacity, so we had mentioned in the past that in terms of the port and in terms of the rail, we needed to improve those numbers so that it can match the production at site. We do feel that the port now most of the hiccups are behind them and the new stacker reclaimers operational. The car dumper is performing pretty well. All of the sidings that they installed have been done in the past quarter. They had to finalize the repair. If you remember eight to 10 months ago there was a big electrical issue that happened that caused some downtime. They had bypassed that during the past 10 months, but that needed to be repaired. So that took a bit of time during the quarter. But now that all of that is behind us, we feel that the port can be able to deliver all the tons that we bring to it. When you look at the rail that's a bit of a different story. They're ramping back up following the forest fires. There's also some operational issues where they had to do major shutdowns on that rail that they typically do during the summer, but they had to postpone because of the forest fires and they're still finalizing the ramp-up on their rail. So short term, in the Q4, I don't expect that we'll be able to destock tonnes from that 1.6 million stockpile at site. But following that, we do feel that we'll be able to start bringing down tonnes and that should eventually go much faster, if you look at next summer next year. So that's sort of what we see for the material there. And your other question was... 
Orest Wowkodaw : Just whether you expect now this calendar quarter to be...
David Cataford: Yeah. So when we look at the operations right now, we still need to tweak the cover for us to be able to reach full nameplate capacity. And there are still some elements that are rising from the startup that need to be fixed. I mean, we're not seeing any right now, but I'm sure we have not fixed 100% of the issues that might come. So it's tough to give guidance on whether this quarter we'll be able to achieve full nameplate. We know the mills can take it. We know the mining operations are up in line, but there might still be some small hiccups to work through on the maintenance side to be able to have a robust site that can do the full nameplate capacity.
Orest Wowkodaw: Thanks. And just as a quick follow-up. I'm a little surprised on your comments about the rail capacity, especially given that Rio Tinto was IOC guidance again they're having their own issues. So I'm surprised, you can't take advantage of some of that excess rail capacity if IOC not producing?
David Cataford: I'm very surprised as well and you can be sure that we're putting all the necessary pressure to be able to bring down tonnes. So -- but I'm thinking the same way as you are Orest.
Orest Wowkodaw: Great. Thanks so much.
Operator: Your next question comes from Alexander Pearce with BMO. Your line is open.
Alexander Pearce: Great. Good morning all. So in the quarter, you can see cash costs coming down. All the sustaining costs were maybe a little bit higher than expected. It looks like you had a big chunk of sustaining CapEx in there. So I just wondered maybe you could break down what was actually included within that sustaining CapEx figure. I think it was about $60 million and maybe what we should expect maybe for a more normalized level on a quarter-by-quarter basis going forward? Thanks.
David Cataford: Yeah. Thanks. As you know we're currently -- and you'll probably get to see it in the coming weeks when you come to site, but we are building the extension to the garage. So that is one of the mining garage. That's one element that accounts for a portion of the sustaining and also all the work that is being done on the tailings and the die. So that's typically just in the summer months. So we should see that sustaining costs come down as we get more into winter, but that's what explains mainly the -- those two elements are really the major part of the sustaining during the quarter.
Alexander Pearce: So should we kind of look at the previous few quarters really for maybe a more normalized level? After this?
David Cataford: Yeah. It should -- well, I mean the winter months it typically goes down. Next summer, well, you'll see it increase as well because as you know the first years of the Phase II operation was when we're building out the new tailings facility and the waste dump. So there wasn't our feasibility study some higher investments at the beginning and that eventually comes down to a much lower sustaining cost when we finalize those infrastructures.
Alexander Pearce: Great. Thanks. And then just maybe if I can follow-up with the second question. Obviously, there's the strikes going on in the Seaway down the road. That's not impacting your operations whatsoever, right?
David Cataford: Correct.
Alexander Pearce: Thanks.
Operator: The next question comes from Gordon Lawson with Paradigm. Please go ahead.
Gordon Lawson: Hey, good morning. My primary was answered. So just following up on the feasibility studies. I've been writing about expecting both Kami and the pellet plant studies by year-end. I'm wondering if there's still viable target data?
David Cataford: Yeah. So we're working to finalize, the main one for us and the most important one for us to deliver is really the Kami and feasibility study. Will it be delivered at the end of this calendar year or at the beginning of January. So that will depend if we're able to finalize all the different numbers by then, but it's coming as expected in that time frame. For the pellet plant feasibility all same thing, we're advancing with the engineering firms. The one element that's making it a little bit more complex is how do we deal with the whole energy portion. It's the first time in Quebec that energy is not sort of automatic. So we're working with the engineering firms to be able to have something they're comfortable to sign and make sure that we have the right report to be able to get out to the market and deliver to the market. So that's the one element that might have a little issue on the timing mainly for the pellet plant. But the one that we're really focusing to finalize is the Kami feasibility side.
Gordon Lawson: Okay. Thank you. And just following up on that. Can you just elaborate on what sort of options we can expect with Kami because there's talk about the DR grade as such. I'm just wondering what's your review looking for here?
David Cataford: Yeah. Kami is going to be DR grade. So that's our -- that's all the test work that we've done and confirmed. So for us, this is why it took more time as well than just a typical update of a feasibility study, we want to make sure that we're delivering the right product into the market. And our view is that this DR material is going to fetch a pretty good premium. We have not seen projects at scale being announced. I mean, apart from Valley that mentioned they'll be producing a whole lot more but we're seeing the quality out of Brazil decline. So, we want to make sure to be a unique sort of niche product the highest-grade DR-grade material you can find in the market. So that's where we're targeting for the Kami project.
Gordon Lawson: And that goes from the pellet plant as well. It's DR grade.
David Cataford: Yes. The pellet plant would take DR-grade material and would pelletize it. So it would be a DR pellet correct.
Gordon Lawson: Okay, great. Thank you very much.
David Cataford: Thank you, Gordon.
Operator: Your next question comes from Stefan Ioannou with Cormark Securities. Please go ahead.
Stefan Ioannou: Thanks very much. Maybe just back on the rail thing just maybe housekeeping. I think David you mentioned it would take about 12 months to draw or reduce the inventory to sort of regular level. Should we think of that as 12 months from today or 12 months post calendar Q4 when you actually start decreasing it?
David Cataford: Yes, you have to view it. Well I mean it's -- I don't have a crystal ball so it all depends on how the materials ramped up. But realistically it would be it's more difficult to bring down more tons during the winter months. as you know. But once we start destocking that's when we feel it's going to take about a year to bring down the material. If it's faster, we'll be very happy and we'll put pressure for it to be faster. But that -- in the current sort of scenario, that's what I would expect.
Stefan Ioannou: Okay, perfect. And then just on the study right now to produce the direct feed at Bloom Lake. You mentioned second half of 2025 commissioning. But obviously that's pending foremost sanctioning which in turn is in part dependent on power or power agreement. Can you maybe just give us a sightline to where that power gen is at and what we might want to anticipate there from a sanctioning point of view the timing on sanctioning?
David Cataford: Yes. So, once we have all the elements we'll be able to go to the Board. I mean as you can appreciate we've already approved over $60 million spend on the project. So, I think it's pretty clear that unless there's a major change that the project that would go ahead pending power allocation and the financing package with our partners. What we can say and if you read the public press out of Quebec is that the government has informed 11 companies that they have their power. It's just not a public information yet. So, when that list becomes public we should be able to update the market on the timeframe for our project.
Stefan Ioannou: Okay, that’s very helpful. Thank you very much guys.
Operator: Your next question comes from Craig Hutchison with TD. Please go ahead.
Craig Hutchison: Good morning guys. You mentioned a pretty wide range in terms of the price between the market now or DRI material. I think you said $40 up to 200 -- I think €200. Can you just talk about what your marketing strategy is for the future offtake for the DR material? And what kind of interest you're seeing from potential uptake partners now?
David Cataford: Yes. So, obviously, we'll be targeting the people that sell it at €200 or €300 more. And when you look at the wide varieties because not everybody has the same definition on what green or greener steel is. If you look at that $40 mark that's more people that mentioned that they will produce some steel with HBI. So there's different ways to get there. What we're targeting is markets that want to deliver steel below one ton of CO2 per ton of steel. That's where we see that the current premiums seem to sit and that's why we're targeting much more Europe, Middle East, and Japan when we look at our potential clients to sell this type of material. So, you are correct, it's a wide range. It's starting now. So it's the beginning of something. We do know Fast Markets is working on delivering an index for this type of material. Now, again are we going to be on that index because we'll be that niche material that is at the higher grade of the DR which will allow our clients to buy some lower-grade material. So, I think to start it's probably going to be more a case-by-case element and we'll be able to follow that index to see if that makes sense for us in the future. And will it be similar to the current P65 where we sell on that index with a premium? Or will it be just another sort of pricing scenario that's still in discussion with all of our clients there.
Craig Hutchison: Okay. Those markets -- I guess they're pretty small at this point right now those very niche products. Is that fair in terms of the total demand in tonnes?
David Cataford: I'd say now maybe but when you look at 2024, 2025 when all those electric arc furnaces get delivered we're going to be in a different territory because right now I agree with what you're saying although we are seeing material that used to qualify for DR grade that has declined. So, we have seen less material available to fit that quality. But I really feel as those tons get delivered that's when I see that we'll see a potential uptick in demand to that material.
Craig Hutchison: Great. Thanks guys.
Operator: Your next question comes from Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much operator. Good morning everyone. My first question is on the strategic side. You have a portfolio of growth projects. That's pretty unique. And I wonder to what extent there are considerations about partnerships JVs things of that nature. And if they are kind of regionally where would you be seeing the most interest? And what is your interest level? I would appreciate your thoughts on that? thank you.
David Cataford: Could you reformulate that for me sorry I didn't quite catch that.
Lucas Pipes: Yes. So a higher level question. You have a portfolio of growth projects. Steelmakers around the world, obviously, are looking at decarbonization opportunities. And I could see that there is interest from some steelmakers to participate in some of your projects. And so I wanted to get a sense for your appetite for joint ventures and at what stage that could make sense.
David Cataford: Yes. So if you look at the way that we've approached our growth so the elements that I feel that we should do on our own because they'll create a whole lot of value for our shareholders is the DRPF at Bloom Lake and the debottlenecking of BlueLine. So those are projects and capital spend that I think will be extremely accretive for our shareholders and palatable for a company our size. When we look at projects like Kami or the pellet plant, well the pellet plant we've already announced that we'll be -- we're doing the study with a large deal manufacturer because they do have interest for this type of material and we had others knock on the door and say, hey if it doesn't work with that group we would definitely like to step in. So we do feel that there is interest to be able to go down the joint venture route and same with Kami. We feel that Kami is a great project for our shareholders, but maybe a little bit large compared to where our company is today. So we feel that the right way to approach it would be with a strategic partner. And again we have had quite a lot of interest on that project as well. So the way that we view our growth is whatever we feel is palatable like the DR pellet feed projects and debottlenecking we can do on our own and the larger projects we'll be looking at joint ventures.
Lucas Pipes: And a follow-up along the same vein. Lots of considerations around consolidation in the North American steel industry. Has that changed any of your conversations be it from a strategic standpoint like you just mentioned or from a commercial perspective I would appreciate your thoughts on whether there's any knock-on effect from consolidation in the North American steel industry? Thank you. 
David Cataford: Yes. Thanks for the question. For now it hasn't really affected because we don't sell them to the U.S. for now. Once we get to the DR pellet feed materials then there are opportunities. So we'll see how that can unfold. But most of the demand that we've been getting is really out of Europe the Middle East and Japan. So we do feel that that's where the tonnes will be able to be delivered to start and we'll see where the U.S. market and Canadian market evolves to see if there's opportunities there. But that consolidation has not necessarily affected our plans in the short term.
Lucas Pipes: Thank you very much for your color. To you and the team continued best of luck. 
David Cataford: Thanks, Lucas.
Operator: [Operator Instructions] Your next question comes from Brian MacArthur with Raymond James. Please go ahead.
Brian MacArthur: Good morning. I'd just like to follow up on the potential contracting strategy for your 69 material. As we were discussing earlier the market might grow very quickly. Pricing is a wide range. Is the thought that you're going to enter long-term contracts. And I would think that's what a lot of customers work? Or is it going to be shorter volume contracts? Are we going to go to a base price and an escalated contractor? Or have you gone down that process so far? And how do you think that will work out given such a potentially high-growth industry?
David Cataford: Yes. What's important for us now is that we're in discussions with the groups where we feel it makes the most sense one on shipping because the last thing we want is to have a great contract on pricing, but then it's complicated to get the tonnes in and we get slapped by the shipping prices. So for us it's important to see where can we deliver 180,000 tonne vessels and fully benefit from that type of material. Two, we don't want to put all of our tons at the same place because obviously we see a lot of risk in doing that. So we want it spread out in a few regions. And we want to make sure that there are larger companies that can secure the right contracts for green steel because we feel they're the ones that will be able to pay the most amount for our material. So when we look at the strategy right now it's really identifying the right places on the logistics side making sure the clients can benefit from the premium and then sitting down and discussing the potential price. I'd say right now half of the potentials are actual clients and the other half would be new clients. So that's the way that we've been seeing the market now but where will it end? Because it's a new product we'll be securing volume. But I think the formula is going to have to be a little bit flexible in terms of pricing and we'll probably aim at a first three-year sort of view on pricing and then not at a fixed price but really a formula that sets for the first three years and then see how that evolves in the future.
Brian MacArthur: Thanks very much. That’s very helpful.
David Cataford: Thank you, Brian.
Operator: There are no further questions at this time. Please proceed.
David Cataford: Well thanks everyone for being on the call today. I'm very happy to discuss the Q2 fiscal year 2024 results. Looking forward to being able to discuss in the next quarter. It's going to be an exciting one because that's when we'll start having results from our feasibility studies and continuing to improve our operations. So again thanks to all our shareholders for your support and we'll continue to work to maximize the value of your shareholding. Thanks a lot and speak soon. Have a good day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.